Operator: I'd like to remind everyone that today's call and webcasts are being recorded. Please note that they are the property of Apollo Commercial Real Estate Finance, Inc. and that any unauthorized broadcast in any form is strictly prohibited. Information about the audio replay of this call is available on our earnings press release. I'd also like to call your attention to the customary Safe Harbor disclosure in our press release regarding forward-looking statements. Today's conference call and webcast may include forward-looking statements and projections and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from these statements and projections. In addition, we will be discussing certain non-GAAP measures on this call which management believes are relevant to assessing the company's financial performance. These measures are reconciled to GAAP figures in our earnings presentation which is available in the stockholders section of our website. We do not undertake any obligation to update our forward-looking statements or projections, unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.apollocref.com or call us at 212-515-3200. At this time, I'd like to turn the call over to the company's Chief Executive Officer, Stuart Rothstein.
Stuart Rothstein: Thank you, operator, and good morning and thank you to those of us for joining us on the Apollo Commercial Real Estate Finance first quarter 2025 earnings call. I am joined today by Scott Wiener, our Chief Investment Officer; and Anastasia Mironova, our Chief Financial Officer. Quite a bit has changed since our year-end conference call where we expressed optimism about the positive momentum in the real estate market given the healthy overall macroeconomic view and increasing real estate transaction activity at the time. As we highlighted on that call, we perceived a slowdown in the overall macroeconomy as the biggest risk to the real estate market. Without getting into the weeds with respect to monetary policy and the approach to implementing tariffs, it is safe to say that overall capital markets volatility has increased as investors try to understand the short and long-term implications of the changes announced and recessionary fears have risen. As I've previously stated, commercial real estate tends to be a lagging indicator. At present, real estate market participants are still quite active and there continues to be significant amounts of both equity and credit capital available for deployment into real estate. To date, the recent volatility has led to modest spread widening and a more cautious tone in the market, and we still hold the view that a broad recession presents the greatest risk to the ongoing real estate recovery. We believe tariff effects are likely to drive up construction costs and further reduce new supply, as evidenced by recent data on new construction starts for multifamily and logistics properties indicating levels at 10-year lows. Limited supply should be positive for long-term real estate values and fundamentals. Also, when compared to other asset classes, real estate appears to be starting from a more reasonable relative value position. As such, while clearly not immune to volatility in the short term, we believe real estate looks better positioned than many other asset classes and historically real estate has performed quite well in an inflationary environment. Specific to ARI, the first quarter saw continued velocity in loan originations as we committed to $650 million of new loans. Our Q1 originations were for loans secured by properties in the United States, although our forward pipeline continues to consist of transactions in the U.S. and Europe. Three of the four transactions closed in the quarter were loans secured by residential properties, an asset class that continues to have strong secular tailwinds, even in potential recessionary scenarios. The other transaction was a data center construction loan, which is an area we have become very active in over the past 18 months. Our strategy with data centers has been to finance developers where we are confident in their ability to deliver facilities on time and within agreed-upon specs and to provide loans on facilities that have been pre-leased to strong credit tenants with long-term leases. ARI continues to benefit from Apollo's broad-based real estate credit origination efforts, which totaled over $5 billion of originations in Q1. Following quarter end, ARI completed an additional four transactions totaling just over $700 million, bringing year-to-date volume to $1.5 billion, including add-on funding. Turning now to the loan portfolio, at quarter end, ARI's portfolio was comprised of 48 loans totaling $7.7 billion. No additional asset-specific seasonal allowances were recorded in the first quarter. The update on 111 West 57th Street is that strong sales momentum has continued and the closing of three units in the first quarter generated $45 million in net proceeds. Subsequent to quarter end, two additional units closed, and with those closing, the senior loan ahead of ARI's position was fully repaid and also allowed for a $29 million reduction in ARI's net exposure. Going forward, all unit closings will go toward reducing ARI's loans, and currently there is an additional $127 million in executed or pending contracts across another seven units. We remain highly focused on proactive asset management and executing the plans on our focus loans as we seek to maximize value recovery and convert the capital into higher return on invested equity opportunities. We have defined pathways for each of our focus assets, and we are actively pursuing resolutions. Before I turn the call over to Anastasia to review the financial results, I wanted to reiterate that while Q1 earnings were slightly below the current quarterly dividend run rate, as we look to the rest of 2025, we are comfortable that ARI's loan portfolio will produce distributable earnings that supports the current quarterly dividend run rate. With that, I will turn the call over to Anastasia to review ARI's financial results for the year.
Anastasia Mironova: Thank you, Stuart, and good morning, everyone. ARI reported distributable earnings of $33 million or $0.24 per share of common stock for the first quarter, with GAAP net income of $23 million or $0.16 per diluted share of common stock. As Stuart mentioned, our Q1 earnings were slightly lower than the current quarterly dividend rate, providing 96% coverage of the quarterly dividends. It is worth noting that our first quarter distributable earnings included the impact of timing of capital deployment in Q1, which was heavily weighted towards the end of the quarter. As we look to the rest of the year, we see Q1 results representing a trough with distributable earnings per share expected to meet or exceed the quarterly dividend rate for the remaining quarters. The expected increase in distributable earnings is driven by the sequential growth of the loan portfolio from previous year-end and recirculation of underperforming capital into new transactions. Our loan portfolio ended the quarter with a carrying value of $7.7 billion, up from $7.1 billion at year-end. The weighted average and leveraged yield of our loan portfolio as of the quarter end was 7.9%. We had a strong quarter of loan origination, closing four new commitments for a total of $650 million and completing an additional $73 million in add-on funding for previously closed loans. Loan repayments totaled $93 million during the quarter, which we were quickly able to redeploy through new origination post-quarter end. Such activity in Q2 to date amounted to $709 million in total commitments on new loans, in addition to another $309 million in add-on funding. With respect to risk ratings, the weighted average risk rating of the portfolio at quarter end was 3.0, unchanged from the previous quarter end. There were no asset-specific CECL allowances recorded during the quarter and no movements in ratings across the portfolio. Our general CECL allowance increased this quarter by $4 million, reflecting the growth of the loan portfolio from the previous quarter end, as well as a more cautious stance on the macroeconomic outlook. Total CECL allowance and percentage points of the loan portfolio amortized cost basis is down quarter over quarter from 507 basis points to 475 basis points. Moving on to the right-hand side of the balance sheet. During the quarter, we were very active with our secured borrowing counterparties, upsizing our facility with J.P. Morgan by $500 million, which brought total capacity to $2 billion. We also extended the maturity on our JPMorgan and Deutsche Bank facilities by three and a half and two years, respectively. Post-quarter end, we closed two new secured credit facilities with new counterparties for an aggregate borrowing capacity of about $700 million and on favorable terms. Liquidity in the secured borrowing market continues to be plentiful, as lenders get favorable capital treatment for these facilities and in many instances prefer them over directly lending to properties. Our debt-to-equity ratio at quarter end was 3.5x, up from 3.2x at year end, as we recirculated proceeds from a number of repayments that happened right before year end into new leveraged deals in Q1. The company ended the quarter with $218 million of total liquidity comprised of cash on hand, committed undrawn credit capacity on existing facilities, and loan proceeds held by the servicer. ARI book value per share, excluding general CECL allowance and depreciation, was $12.66, a slight decrease from last quarter, primarily attributable to the impact of the RSU vesting and delivery. And with that, we would like to ask the operator to open the line for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from Rick Shane with JPMorgan. You may proceed.
Rick Shane: Hey, guys. Thanks for taking my questions. Look, one of the things that stands out is that you guys have significant specific allowances. It's actually been a while since you have realized any material losses. I suspect, and again, like, the optics of realizing losses are not optimal, but at the same time, you have almost $500 million in non-accruing assets. I'm curious how we think about the cadence of actually realizing those losses and being able to redeploy the capital. And I'm curious if the strong origination volume that we have seen, post-quarter particularly, is a signal that some of that capital is about to be recycled.
Stuart Rothstein: Hey, Rick. Thanks for the question. Look, I think, right, from a cadence perspective, I would say the way to think about it just from a pure cadence perspective is a lot of the specific CECL is tied up in two assets, right? 111 West 57th and then Liberty Center, which is our asset, retail asset. In Ohio, we expect to be in market in selling the Liberty Center asset sometime the latter part of this year. We are pretty confident from a valuation perspective and, as such, hope to get to the finish line and that'll sort of crystallize things, but we feel good about where we're reserved there. And, obviously, you heard the update on 111 West 57th in terms of sales progress. Not sure when we get to the full finish line, but momentum is certainly positive there. So I think what you're seeing in our actions is that we feel confident right now that there are no additional surprises coming and we are comfortable putting capital to work, expecting that the latter part of this year and the early part of next year, there will be more capital coming our way through resolutions.
Rick Shane: Great. It's a very helpful answer, and thank you, and clearly making some strong progress in terms of selling units. That certainly comes through. Thanks, guys.
Stuart Rothstein: Thanks, Rick.
Operator: Thank you. Our next question comes from Doug Harter with UBS. You may proceed.
Doug Harter: Thanks. Understanding that kind of the change in the market is still relatively fresh, but any sense you have in conversations about whether this might delay either repayment of loans or kind of the putting out of new money and kind of how you're thinking about the market impacts?
Stuart Rothstein: Yeah, look, I think the market is still functioning and pretty robustly, and I would say across a broad spectrum of credit opportunities, I would say the volatility that we've seen in the equity market has been much more muted in the credit market. So I would say at this point, no anticipation of slowdown and no anticipation of people walking away from transactions or pulling back from transactions. I think the real question in our mind, Doug, is, you know, if you think about a decision tree, if recession, and then if we assume yes, recession, are we talking something that is shallow and short-lived or something that has breadth and length to it? I think it's too early for most people to know, just given sort of the fairly violent changes from direction to direction, given what's going on. But I would say right now the need to put capital to work, the volumes of capital looking for return are overweighting sort of what might be some change behavior if we truly enter into some sort of meaningful recession.
Doug Harter: Appreciate that. And as you think about, the asset classes, either in your portfolio or more broadly, if we have a recession, how are you thinking about the vulnerability of various asset classes?
Stuart Rothstein: Yeah, look, I think obviously if we had a recession, the asset class that we would think most about would be on the hospitality side short-term because obviously the ability for cash flows to move there most quickly. I think you heard my comments on multifamily, which I think has legs even in a recession, just given sort of the need for housing. And then to the extent you "worry about things" and a recession causing big capital decisions to be made, I think we've clearly been in a recovering office market and it's been moving in the right direction. Does a meaningful recession cause people to slow down those decisions? I think it's something you always worry about. I would say we haven't seen it today and we're actually pretty encouraged about the level of activity across our various office, across the office assets supporting our loans. But that's how we think about it from an asset type perspective. Again the long-term positive implications are I think we're going to be living in a muted supply environment for quite some time. So it should mean that existing assets are better protected both in terms of replacement costs or operating position as you think about limited new supply. But I think as you rightly inquired, I think if we do get into a recession, I would say you worry about hospitality first, just given the ability for revenues to move quickly.
Doug Harter: Great. Appreciate that, Stuart.
Operator: Thank you. Our next question comes from Tom Catherwood with BTIG. You may proceed.
Tom Catherwood: Thanks and good morning, everybody. Stuart, maybe on 111 West 57th, now that your senior mezz loan A, has become senior in the cap stack, does that portion go back on accrual and can you start recognizing interest income again or is there a different treatment there?
Stuart Rothstein: There's a different treatment and let me try and put a finer point on it, right? So we've had, right, our position is still comprised of both mortgage and mezz and what was in front of us was a financing from JPMorgan that was effectively financing a piece of our position. At this point, if we were to turn income back on, we'd effectively just be paying ourselves, in which case we'd be taking income increasing basis and then putting more pressure on what the ultimate recovery needs to be. Our approach is going to be to keep income turned off and to the extent recovery is better than expected and certainly we're ahead of pacing today, but I don't know that that will continue, but to the extent recovery is better than expected, it will come through in recovery of reserve as opposed to taking near-term income now.
Tom Catherwood: Got it. I appreciate making sense of that. And then in terms of portfolio growth, obviously first quarter was light from a repayments front. What are your kind of near-term repayment expectations and do you think you can continue to grow the portfolio at the kind of pace that you were able to in the first quarter?
Stuart Rothstein: Yes, look, I'm sure there are many who are tired of me talking about not getting too hung up on one quarter or another, but I think, look, I think we're looking at plus or minus a 1.5 billion of repayments this year and it could be more if pacing on some of the focus assets is even better than expected. So we're going to be active in the market. Will it be lumpy quarter over quarter? Yes. But with 1.5 billion coming back our way and having already done, you know, call it 650 in the first quarter, it's going to be a pretty active year from a deployment perspective. I just can't tell you what quarters it will come in, but I would say a lot of the repayment I would say is expected to come in sort of, think about it, middle to late second quarter to middle to late third quarter as you think about when the dollars will be coming back to us and obviously we'd like to be ready to deploy as soon as the money comes back so there's no earnings track.
Tom Catherwood: Got it. And then last one for me just quickly, you mentioned focus assets. Any update on performance at the Mayflower, the DC hotel, how that's been holding up?
Stuart Rothstein: Yes, look, year to date it's been a good year. It's outpacing last year. Obviously a little bit of help in the first quarter given inauguration, etc., but it's been performing quite well. I think that is an asset that on a finance basis generates a nice levered return for ARI. I think ARI is perceived better if we reduce REO over time. I think the question for us is when is the right time to bring a hotel to market, particularly in light of some of the back and forth Doug and I had two minutes ago about what asset classes might have a more negative bias if we truly do get a recession, but the hotel itself right now is performing quite well.
Tom Catherwood: Got it. Appreciate the answers. Thanks, everyone.
Stuart Rothstein: Thanks.
Operator: Thank you. Our next question comes from Jade Rahmani with KBW. You may proceed.
Jade Rahmani: Thank you very much. Just wanted to ask about a couple assets we haven't touched on in quite some time, the Berlin office, the Chicago office, both of those risk rated four, and then two risk rated threes, the Manhattan office and Cleveland multifamily. Would you be able to touch on those four items?
Stuart Rothstein: Yes, I mean, I'll give a bullet point on each. Scott, are you on? Do you want to talk about it?
Scott Weiner: Yes, I'm on. Hi, Jade. Yes, I would say with the Berlin office, you know, we are working with a sponsor who's also a co-lender on the deal with a mod where there'd be new equity invested as well as more time for lease up. And they're also getting close on a major lease. So, you know, we wanted to wait till that was fully documented before returning it to a three, but our expectation is in the coming quarter, assuming that all gets papered with new equity coming in and the mod, that would become a three. And like I said, we're hopeful that this, you know, credit lease gets signed, which will help reduce the vacancy. As far as the Chicago office goes, there has also been some recent positive leasing and some additional equity coming in from the sponsor there. So again, hopeful, you know, as I think Chicago is behind New York, but we are seeing green shoots, in other assets across the non-ARI portfolio that we have in Chicago in terms of tours and inquiries and leasing and return to office stats. So on that deal, the sponsor actually owns other properties in the market and has been working on, some people who needed to grow from one property to another, moving them to this building, which has been helpful. Was there another one?
Jade Rahmani: Yeah, Manhattan office, 256 million risk-rated three and Cleveland multifamily, 76 million risk-rated three?
Scott Weiner: Yes, on the New York office, that is one where we are the senior most in the capital structure and there are various layers of mezz and equity. That one, we've been working on a recapitalization with the senior most mezz who is willing to invest capital and right now exploring two options. One would be taking advantage of the change in law and code in New York and converting part of that to multifamily and taking advantage of the taxes. So the junior capital has been working on that business plan. At the same time, with New York leasing off and the quality of this property and the location, there also is a strategy of just maintaining it as office and so kind of parallel pathing both of those. I think the conversion makes a lot of sense and feel we're in a good shape there. At the same time, there's some dialogue around some major tenants and so if we can get one or two of these major tenants who've been touring the property to commit and take a lot of vacancy, then it's just easier to keep it as office. But in all cases, the capital behind us is willing and committing additional capital behind us on that. And then as far as Cleveland, yeah, the multifamily there is doing well. The junior capital there who stepped in and foreclosed the prior owner out and put capital in, replaced management, so doing well there. There's also a retail component that has really been the focus in terms of converting that from some percentage rent to direct rent. So heading in the right direction, it's a high-quality property, and again, we have junior capital who has been committed and investing additional capital behind us.
Jade Rahmani: Okay. And then just on 111 West 57th, so tracking the numbers, the balance was 403 million as of 331, which is up from 390 million at year-end. Do you know why it increased?
Scott Weiner: Yes, there were some costs that we need to fund like most of it was really for the retail. We had signed a long-term lease with Bonhams to move their auction house headquarters there and so as part of that, there's some TI and leasing commissions that were funded as well as some carry costs. That was already all factored into our reserves on those costs.
Jade Rahmani: Okay. And do we need to expect further increases?
Scott Weiner: No. The numbers as we've been selling units and obviously spent the money on the retail are much lower, but the amount of sales that we have will be -- each quarter, you'll be seeing a dramatic decrease in the size of the position.
Jade Rahmani: Okay. And so it's 403 then there's 29 million post-quarter end and then another 127 million, Stuart mentioned, 7 executed contracts. So once those close, the pro forma balance should be something like 247 million. Then there's also some transaction costs, I assume, commissions and such, but is that in the ballpark?
Stuart Rothstein: You are in the ballpark, Jade.
Scott Weiner: Yes, to clarify there's five signed contracts, which you can see on Street Easy and then we have two contracts out per signature system.
Stuart Rothstein: Yes, Jade, your math is roughly in the ballpark.
Jade Rahmani: Okay. And then that would suggest nine or so. Actually, the quadplex probably consolidates some units. So are there around seven units remaining to be sold?
Stuart Rothstein: 11.
Jade Rahmani: 11 remaining to be sold, including the seven, the five signed contracts and two out for signature?
Stuart Rothstein: Yes.
Scott Weiner: If the seven make, you've got 11 units plus you've got the condo. And then plus as we've indicated on prior calls, there's also some insurance proceeds, etcetera, that will come to us when settled due to construction issues along the way.
Jade Rahmani: All right. Thanks so much.
Stuart Rothstein: Thanks, Jade.
Operator: Thank you. Our next question comes from Steve Delaney with Citizens JMP Securities. You may proceed.
Steve Delaney: Thanks. Good morning, everyone. And, Stuart, thanks for your macro thoughts to kick things off. There's certainly a lot of uncertainty out there for all of us to deal with. I wanted to touch on, I think, probably the most unique thing about Apollo is your exposure in the U.K. and Europe, almost half the portfolio and just under 4 billion. I think Tom actually cited that in his recent upgrade of the company. But it totally is unique among the 20-some commercial mortgages. Just talk a little bit about how Apollo or ARI has been able to do that. Does Apollo, on a larger scale, have boots on the ground in the U.K. and Europe? And if not, how are you sourcing and managing these assets if you're not using your own Apollo people? Just curious about how that's kind of evolved and given sort of a unique edge to ARI? Thank you.
Stuart Rothstein: Yes, look, I'll start and then Scott may add some comments. Look, the short story is the real estate credit business was effectively pulled to doing deals in Europe because some of the sponsors that we backed in the U.S. were certainly active in Europe, liked the relationship with us and asked if we would consider opportunities there. And that was sort of the genesis of the business in 2012-13. We committed and we took one of the more senior members of our team by the name of Ben Eppley and moved him to London in, I'm going to say 2013. I could be off by a year or so. And, Ben, with the help of many, including Apollo's commitment to the European market in general has built a full-scale originations management engine based in London, but covering Europe throughout. We've got an investment team comprising of plus or minus a dozen folks. We've got an asset management infrastructure on the ground in London covering Europe. And I would say to his credit, Ben and team or to their credit. Ben and team have over a dozen years' worth of work established themselves as a leading bridge lender in the market. So we're fully committed to the market. Not everything we do ends up in ARI, no different than the way we do things in North America. There's often times when we share transactions across capital because there's other Apollo capital looking to deploy into the market. And there's also times where there are things our team sources that doesn't necessarily fit for ARI, but fits with some of our regulated balance sheets and it just furthers the track record, reputation, relationships that Ben and team have created. So we made a commitment to the market a dozen plus years ago and the execution has been pretty strong. And as you've heard me say from ARI's perspective, often similar quality sponsors, similar types of real estate transactions, only lending in markets where we feel as if our lender protections are no different than between the U.S. and Europe. And it's really turned into just a seamless part of the overall real estate credit business. I'm sure Scott might have some additional thoughts, but it's worked out quite well.
Scott Weiner: I mean, I'm actually sitting in our London office with Ben. So I've actually spent quite a lot of time here. Yes, so I would say, look, we got a little bit of a first mover advantage because we have been here over a decade. We actually were voted Alternative Lender of the Year last year, so we've been quite active. And I would say we benefit from the overall Apollo platform because the financing and back leverage that we get is important and so we have great relationships with the banks here. But I would say, there's really some structural differences in this market, which we like. First and foremost is there's really not a very active securitization market. So we're in the U.S., the single asset, single borrower market can be very active and make it challenging to do larger deals. That doesn't exist here. And so, our ability to speak for larger deals by marrying the ARI Capital with our other capital and doing Pan-European deals, larger deals, portfolio deals is really a competitive advantage. And just like in the U.S., as Stuart said, relationships are important. It's a people business, so people know when we say we're going to do something, we do it, and we can do everything from what they call PBSA here, which is student housing, to logistics, the data center, hotels, really all the property types across the geographies. And so, yes, it's been a really good active business for us. And I would say, we also hedge everything back to dollars, so we're not taking FX risks. And at times, obviously can also help the returns, but we're not taking any kind of FX risk. Legally, we're making sure we're all in countries where we can always enforce and we have different structures for that. Yes, so it's really just, an extension of the strategy that we do in the U.S. We just happen to be endeavor here.
Steve Delaney: That's excellent. Well, thank you both for the most detailed explanation. That's a lot of history that I was not aware of, so greatly appreciated. Have a great year ahead in the U.K. and in the U.S.
Scott Weiner: Thanks, Steve.
Operator: Thank you. Our next question comes from Harsh Hemnani with Green Street. You may proceed.
Harsh Hemnani: Thank you. Stuart, you mentioned you were expecting about a $1.5 billion in repayment through the course of the year. And just looking at what you've done year-to-date, it seems like a $1.5 billion has already been funded and sounds like you want to continue on the deployment path. So how are you thinking of funding those incremental deployments? Is it going to come through incremental leverage, equity issuance, resourcing some of your assets? How are you thinking about that?
Stuart Rothstein: Yes, look, working backwards, right? Given where the entire sector is trading, until the sector and we specifically can get back up above book value, there's no equity issuance coming. The new deployment will be funded based on repayment from existing outstanding loans or achieving resolution on some of the focused assets, which will bring back -- which will bring capital back that we can redeploy. There will be a natural increase in leverage, which is in no way a reflection of any change to our view of leverage in general, which is to say when I have a underperforming asset that I'm not levering, when I can get to a resolution and get that capital back, I will most likely deploy that capital into something where I originate a new loan and then use back leverage to generate my return, which is sort of standard operating procedure. So there will be a modest uptick in leverage, just as I bring back some of the capital that I want to get back from the focus assets. But, it's basically repayments and getting to resolution on the focus assets should give us more than enough capital to need to be quite active in the market this year.
Harsh Hemnani: Got it. That's helpful. And then maybe given a lot of the transactions in 1Q were focused in the U.S., it seems like some of the transactions post-quarter end have also tilted more than usual towards the U.S. Is that sort of something we should be expecting going forward through the year as well? And then maybe on that point, right, I think you mentioned a little bit that the private market hasn't really changed quite a bit, in terms of lending activities still happening. But maybe given the slowdown we've seen in securitized markets, is it sort of fair to assume that you might be getting increased inbounds from borrowers at this point?
Scott Weiner: Yes, I mean...
Stuart Rothstein: Go ahead, Scott.
Scott Weiner: Yes, so I would say certainty in the U.S. with the disruptions in the securitized markets, yes, I think the balance sheet option that we offer gives people certainty because I think when we've seen it, right, there are deals that we lost due to a securitized bid where the spread they were told and the execution they were told, they're not getting. So certainly, whether it be economics or certainty in the U.S., those larger deals, we're certainly spending more time on them and getting more inbounds. Europe is a bit different. Like I said, it's not so much securitized. It would be more banks or other lenders we'd be competing with. But, I mean, in some ways we're hedged, right? Most of the new activity we're going to be doing is going to be in response to repayments. So if some of these repayments don't materialize, we just won't be doing new deals, right? The growth is really coming from, for example, Steinway, as we get that money back, the 111 money, you know, that was debt capital that we'll redeploy. But, if a $300 million loan doesn't get repaid, then we don't have that capital back and we don't need to get the capital back because we're earning a good return on that money. We just won't do, you know, we'll do less new business. So that's why I kind of like to say, like, we're hedged a little bit. And the loans that are going to get refinanced, we're obviously, we like them and happy in that they're levered appropriately and generating a good return. So if they stay out longer, that's not a bad thing.
Harsh Hemnani: Thank you.
Operator: Thank you. I would now like to turn the call back over to Mr. Rothstein for any closing remarks.
Stuart Rothstein: Thank you, operator, and thanks to those of you who participated this morning. Obviously, myself, Scott, Hilary, Anastasia, we are around if there are further questions. Thank you all.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.